Operator: Good day, everyone, and welcome to the Nucor Corporation Second Quarter of 2022 Earnings Call. As a reminder, today’s call is being recorded. Later, we will conduct a question-and-answer session and instructions will be given at that time. Certain statements made during the conference will be forward-looking statements that involve risks and uncertainties. The words we expect, believe, anticipate, and variations of such words and similar expressions are intended to identify those forward-looking statements, which are based on management’s current expectations and information that is currently available. Although Nucor believes they are based on reasonable assumptions, there can be no assurance that future events will not affect their accuracy. More information about the risks and uncertainties relating to these forward-looking statements may be found in Nucor’s latest 10-K and subsequently filed 10-Qs, which are available on the SEC’s and Nucor’s website. The forward-looking statements made in this conference call speak only as of this date, and Nucor does not assume any obligation to update them, either as a result of new information, future events or otherwise. For opening remarks and introductions, I would like to turn the call over to Leon Topalian, President and Chief Executive Officer of Nucor Corporation. Please go ahead, sir.
Leon Topalian: Good afternoon and welcome to our second quarter earnings call. Before we get to our second quarter results, I want to highlight some changes we’ve made to our executive leadership team. As we announced in May, MaryEmily Slate retired on June 11th. MaryEmily is a dedicated and exceptional leader, and we thank her for her more than 21 years with Nucor. Her impact on our teams across the enterprise contributed greatly to Nucor’s success and profitable growth. The Nucor team wishes the very best for you, MaryEmily and your family, and you will always be a tremendously valued member of the Nucor family. With MaryEmily’s retirement, Dan Needham has assumed the role of EVP of Commercial. John Hollatz was promoted to Executive Vice President of Bar, Engineered Bar and Rebar Fabrication. John is a proven leader. Over his 23-year Nucor career, he has served in our Joist and Deck, Building Systems and Flat-rolled businesses. We welcome John to the executive team. As part of this reorganization, Chad Utermark has been appointed to the newly created role of Executive Vice President of New Markets and Innovation. In this new role, Chad will focus on our continued growth into new markets and integrating new businesses into the core operations of Nucor. Also joining me today on the call are members of the Nucor’s executive team, including Dave Sumoski, our Chief Operating Officer; Steve Laxton, our Chief Financial Officer; Al Behr, responsible for Plate and Structural Products; Doug Jellison, responsible for Raw Materials and Logistics, Greg Murphy, responsible for Business Services and our General Counsel; and Rex Query, responsible for Sheet and Tubular Products. Our mission, to become the world’s safest steel company, is the greatest measure of our culture and our most important value. Halfway through the year, we are on pace to have our new safest year in history, which is coming off back to back to back record safety years. I want to thank each and every member of the Nucor family for your focus and dedication in ensuring every team member is safe. Turning to our financial performance. We achieved record second quarter earnings per share of $9.67 and record first half earnings of $17.30. This record performance was driven by strength across our diversified portfolio of businesses. Strong financial results were recorded by a number of our businesses, including bar, plate, sheet, structural, joist, deck, buildings, tubular and our raw material operations. Since entering the steel business, we have focused on growing long-term earnings power and shareholder value. This month, we are celebrating 50 years since Nucor was listed on the New York Stock Exchange. During that time, we have led the transformation of the domestic steel industry, and we are the envy of the world in terms of Nucor’s environmental footprint, safety performance and efficiency as well as profitability. Nucor has grown revenues by more than 13% per year from $83 million when we were first listed on the exchange in 1972 to last year’s record of $36.5 billion, even as the total size of the domestic industry has shrunk. We have also grown our workforce from 1,800 team members back in 1972 to more than 31,000 team members today and in the process created a huge amount of shareholder value. $1,000 invested in Nucor when we were first listed would be worth over $1.6 million today. Our record first half results continue the history of delivering new highs in profitability and cash flow through successive economic and steel market cycles, demonstrating the sustainability and adaptability of Nucor’s business model. We have world-class manufacturing talent, and we are making the right investments to continue our track record of outperformance. Several of our recently completed organic growth projects in our core steelmaking businesses are already contributing to our record first half profitability, and there is more to come as additional projects ramp up production or come on line. For example, our Nucor Steel Gallatin modernization and expansion project is now fully operational, having completed the last of their project-related outage work on June 6th. Our Brandenburg, Kentucky plate mill is on schedule and on budget for a late 2022 production start with almost 400 team members on board. This is a game-changing mill in the U.S. plate market that will firmly establish us as the market leader in plate. And in May, the State of West Virginia approved the air quality permit for our new sheet mill in Mason County. Groundbreaking for the project will happen later this year. Also during the second quarter, we completed our purchase of C.H.I. Overhead Doors and announced two acquisitions that will lead to the establishment of Nucor Towers and Structures, which will serve the utility, transportation and telecommunications sectors. We are so excited to welcome our new team members into the Nucor family. As we execute on our mission statement, to grow the core, expand beyond and live our culture, these investments are excellent examples of what we look for and expand beyond businesses. They serve growing markets and leverage Nucor’s core manufacturing capabilities and our safety and team-focused, incentive-driven, entrepreneurial culture. We look forward to rapidly scaling up their operations as we continue to broaden our portfolio of construction market solutions. As we evaluate growth initiatives, either in our core business or by expanding beyond, we focused on driving incremental value by leveraging our capabilities and existing positions of strength as we have done for the last 5.5 decades throughout our history. Earlier, I mentioned the 50th anniversary of our New York Stock Exchange listing. Our July 12, 1972, news release announcing the listing gave our firm’s business description as "The nation’s largest producer of steel joists." And it mentioned that the Company also produces carbon and alloy steel. At that time, we just operated one steel mill, which was Nucor Steel Darlington. Nucor’s tremendous growth in profitability and market value over the past five decades has been fueled by our decision back then to expand upstream into steelmaking. The result is that today, we are the leading North American manufacturer of a diverse array of steels and steel products providing essential solutions for construction, infrastructure, energy, transportation, automotive, capital goods and consumer-durable market applications. Today, Expand Beyond is a disciplined strategy for profitable growth and value creation, just as our expansion into steelmaking was 50 years ago. With it, we are targeting higher-growth sectors of the economy and leveraging Nucor’s core competency in efficient, variable cost-based manufacturing as well as our broad product portfolio and existing channels to market. Turning to policy issues. I want to mention that we support swift passage of legislation to address semiconductor manufacturing and beneficial updates to our trade laws through legislation known as Leveling the Playing Field Act 2.0. Congress must get this important bipartisan priority across the finish line. Since the COVID-19 pandemic first disrupted our lives more than two years ago, it has become clear that the U.S. needs strong, resilient domestic supply chains for all sorts of critical materials, such as semiconductors made by great American companies. Reshoring semiconductor production here in America gives us a tremendous opportunity to unleash a manufacturing renaissance in the United States. Also, last week, the U.S. International Trade Commission unanimously extended antidumping and countervailing duty orders for an additional five years on imports of corrosion-resistant steel from China, India, Italy, South Korea and Taiwan. While this is a positive development, unfairly traded imports remain a concern for our industry. The ITC is conducting several more five-year sunset reviews this year off key trade orders on flat-rolled products. These orders are critical to market stability and industry performance and are an important part of our government’s trade enforcement toolkit. Nucor is working hard to ensure that they all remain in place. Finally, today’s headlines are full of concerns regarding inflation, interest rate hikes and whether we’ll experience a recession. While we are all aware of these factors, Nucor’s sustainable and flexible business model gives me great confidence in our ability to continue to grow and create value for our shareholders. Our team is focused on enhancing our capabilities, not simply adding capacity, and on delivering a differentiated value proposition for our customers by reliably and safely providing a broad offering of the most environmentally responsible steels and steel products found anywhere in the world. Before I turn it over to Steve, I want to congratulate our 31,000 Nucor team members for a fantastic first half of the year. Thank you for your hard work and dedication and commitment to delivering exceptional customer service. Let’s continue our progress towards delivering the safest, cleanest and most profitable year in Nucor’s history. Now, Steve Laxton will share additional details on our first half performance and our outlook as we move forward into the second half of the year. Steve?
Steve Laxton: Thank you, Leon. As Leon mentioned, this year’s second quarter was the best quarterly financial performance in our company’s history. The quarter’s earnings of $9.67 per diluted share exceeded our prior quarterly record of $7.97 per share by more than 20%. Operating profits were stronger than we anticipated for all three segments. I want to thank our 31,000 teammates for these fantastic results. Your dedication and efforts are what drive the efficiency of our manufacturing businesses, which enable us to reliably meet the strong demand we’re seeing across our broad array of products. Comparing the second quarter of 2022 to the first quarter of 2021, all three segments generated higher earnings with pronounced outperformance in our steel products segment. That segment produced $1.1 billion in operating profits for the quarter. Our joist and deck business continued to be the largest contributor to the segment’s performance. While joist and deck shipments were down from the first quarter, higher prices more than offset the decline in volumes. Contributions from tubular products and metal buildings were aided by both, higher volumes and higher pricing during the quarter. Overall, our steel products segment continues to benefit from strong nonresidential construction demand. This segment’s earnings power and strong free cash flow characteristics continue to make key contributions to our overall performance. In our steel mills segment, shipping volumes were up by 10%. Most of the increase was in sheet and plate as we were able to take advantage of what we consider to be strong demand, leading to attractive pricing in those markets. Our metal margins decreased by about 5% from the first quarter’s $941 per ton to a still robust $895 per ton. Offsetting some of the benefits of the stronger metal margins we have been realizing over the past several quarters are some cost pressures from higher electricity and natural gas pricing. Our energy cost per ton of steel produced was up approximately 50% year-over-year. However, for some context, energy costs still represent approximately 6% of our overall cost per ton. Some of the changes in the energy commodity pricing seen in the marketplace overall over the past year were mitigated by Nucor’s fiscal and financial hedges that we had in place. Our raw materials segment outperformed first quarter results on the back of increasing selling prices for DRI and scrap. DRI benefited from elevated metallics pricing that we use to determine transaction values between segments. Cash provided by operating activities during the quarter was $2.3 billion, enabling both continued investment to grow Nucor’s future earnings power and the return of approximately $900 million of our shareholders’ valuable capital via dividends and share repurchases. Our direct returns to shareholders for the quarter was 37% of earnings. Year-to-date, it is 43%. Our capital allocation priorities remain unchanged. Our highest priority is deployment of capital in our businesses to create long-term value. We also remain committed to our regular quarterly dividend, something Nucor has paid and grown consistently over the last half century. And importantly, we remain committed to additional direct returns to shareholders in times of strong performance with an overall payout ratio of at least 40% of net earnings. During the five years ending in 2021, we returned approximately 56% of Nucor’s net earnings to shareholders. We remain confident that with the capital we retain and deploy, we are building a more resilient, more profitable or more cash-generative Nucor. During the second quarter, Nucor funded $520 million in capital expenditures and $3.1 billion in acquisitions. Between this past December and this year-end, we expect to have completed three major organic growth projects that will substantially enhance the competitive position of our steel mills segment. The first, Hickman’s Gen 3 galv line was completed this past December. The second, Gallatin’s modernization and expansion was completed in June. And the third, our new state-of-the-art plate mill in Brandenburg, Kentucky is anticipated to start at the end of the year. We expect these investments to generate at least $370 million of combined annual EBITDA, once fully ramped up at mid-cycle performance and considerably more in robust market conditions, like the ones we’re seeing now. Nucor has an additional $3.6 billion of approved and in-process organic growth investments that will be completed by 2025. The largest of these is our West Virginia sheet mill. Once these five projects are fully ramped up, we anticipate they will contribute a further $700 million in run rate EBITDA in normal market conditions. As you’re also aware, we closed on C.H.I. Overhead Doors in June. And with the acquisition of Summit Utility Structures and Sovereign Steel Manufacturing, we’ve established Nucor Towers and Structures. We expect these businesses, along with other new capabilities we’ve acquired, such as insulated metal panels and warehouse solutions, contribute as much as $600 million of incremental EBITDA annually in future years. Turning to the balance sheet briefly. As of the end of June, Nucor had debt to capital of 29% and ample liquidity with $2.5 billion of cash, short-term holdings and restricted cash holdings and an undrawn $1.75 billion in revolving credit facility. In May, we felt it was prudent to enhance liquidity and raised $500 million of senior notes with a three-year maturity and a coupon of 3.95% and $500 million of senior notes with five-year maturity and a coupon of 4.3%. Turning to the outlook for the third quarter of 2022. While we recognize there is considerable economic uncertainty right now, demand appears stable and resilient across our key end-use markets. Prices in the steel segment have softened due to import pressures coupled with overall commodity pricing declines globally. For the third quarter, we expect lower earnings from our steel mills segment relative to Q2, and we expect continued strength in steel products and raw materials with performance roughly in line with the second quarter. For the year, we expect earnings per share will establish a new annual record for Nucor. And thinking about the longer term, with balance sheet strength and product diversity that is unparalleled in our industry, coupled with our highly variable and adaptive business model, we remain confident that Nucor is well positioned to deliver on our commitments to our team, our customers and our shareholders over time. Thank you for your interest in Nucor. Operator, we’re now ready to take questions.
Operator: Thank you. [Operator Instructions] And we’ll first hear from Curt Woodworth of Credit Suisse. Please go ahead.
Curt Woodworth: Yes. Hey. Good afternoon, Leon and team. And congrats on the exceptional quarter. First question is just with respect to the plate and structural markets. You noticed somewhat soft utilization rates for those verticals this year, yet pricing is holding up extremely well and basically close to record metal spread today. So just wondering if you could talk to kind of what you’re seeing in those markets and maybe long products more broadly and then how you think about plate volumes into ‘23 with respect to ramping Brandenburg. Thank you.
Leon Topalian: Yes. Absolutely. Kurt, thank you. And we’re incredibly proud of our team and achieving an incredible quarter, an incredible first half of the year at over $17 per diluted share. It’s just a tremendous outcome, and again, something that we and the entire executive team could not be more proud of the 30,000 men and women who make up the Nucor family. Specifically to your question on structural and plate, I’ll let Al Behr, our EVP of Plate and Structural, touch on it. I’ll just say from a very high level before I turn it to Al that one of the unique opportunities that we have, particularly in structural, is the market share position that we have. We are the leading structural manufacturer in the United States. And it’s something that we’ve talked about many times and shared with you and other analysts that through the cycle, we have seen incredible performance in that sector with Nucor-Yamato, Nucor-Berkeley beams reporting incredible returns and profitability out of those mills even with some, at the time, depressed utilization rates in the high-60s, low-70s. Over the last couple of years, that’s improved markedly in ‘21, peaked at [Technical Difficulty] 90s. So, that business segment for us continues to operate. And Al, I won’t steal all your thunder, but we couldn’t be more excited about the shift and what’s moving in plate. In the -- soon coming on line of our plate mill in Brandenburg. But why don’t you just touch on that a little bit and share where we’re at with Brandenburg as well.
Al Behr: Yes. Thanks, Curt. Thanks, Leon. As Leon said, Curt, I’d just echo on the structural side, I’ll start there first. We typically run at utilization 60%, 70% and hold that leadership position. And Q2, we saw much of the same. So, our utilization may have ticked down just slightly in the structural side. And I’d say that’s just not chasing the cheap tons. Truck and railcar availability remains a bit challenged and probably slowed up a few tons. But our market share position remains strong. Our utilization remains right where we’d expect it. And we remain really excited about the opportunities in structural as we talk to fabricators and we talk to the what I call the consumptive demand part of the market, the folks that are buying our steel and making something out of it is still really strong. And we’re excited about the rest of this year and we’re excited, frankly, about 2023. With regard to plate, I would say we’ve made several changes on how we market that product, how we take it to market, how we price it and how we lowered our order books. And we’re really pleased with what that has brought to the market in terms of a rationality of pricing and much less volatility in the pricing and -- but supply and demand still governs the price of that, and we publish a price, but the market determines what it really is. And it’s held quite strong. Our utilization in Q2 was improved from Q1. Our order book improved when we talk about project work from bridges from infrastructure, which we expect to mainly hit in 2023 but is starting to strengthen even today. Again, fabricators are a big part of that plate business. They remain strong with strong backlogs. So, service centers is a big product segment. They remain a bit cautious with their buys. The sentiment around that part of the market is perhaps, I would say more pessimistic than what the reality is. But again, the consumptive side, really, really strong. And you asked about 2023. I would just say we would expect continued robust markets. Nonresidential construction has been one of our most resilient markets across the enterprise, and we would expect that continues in 2023. I mentioned infrastructure starting to produce better strength. Energy, including renewables, has been a strong market. So, when we talk about the buildup to the start-up of Brandenburg by the end of this year in the markets, it will start to serve and open up for us in renewables like offshore wind and some, even specialty pipe work. It’s very exciting. I mean, we stand as the only mill in North America, the only mill in the Western Hemisphere that can serve that market that’s currently served by foreign steel, mostly blast furnace steel. This will be the cleanest offshore-powered steel that exists in the world, and we stand in a perfect position to serve that market. So pretty excited about it. Our team has done a wonderful job there navigating the challenges that that project has faced over a couple of years, and we sit ready for a start-up by the end of the year. We hope this strike an arc, as a matter of fact, on the hot side even yet in the next literally day or two. So very excited, very proud of that team. Appreciate your question. Thanks.
Curt Woodworth: Great. And maybe just as a quick follow-up. With respect to Gallatin, can you just give us an update on progress there and what your commercial expectations are for volumes in the fourth quarter?
Steve Laxton: Yes. Thanks, Curt. I will ask Rex Query, our EVP of Sheet and Tubular, to give an update on Gallatin.
Rex Query: Yes. Curt, thank you for the question. Quick summary, all our primary steelmaking equipment has been purchased. We’ve awarded our significant portions of civil and concrete work.
Leon Topalian: [Indiscernible]
Rex Query: Oh, I’m sorry. I’m going -- sorry, Curt, was talking about West Virginia, which I’ll hold that for a moment and share that here perhaps a little later to the question or a follow-up. But for Gallatin, completed our second quarter outage. All equipment is being commissioned at this point. We’re already expanded -- have expanded our slab with beyond original capabilities. So we’re beyond 68 inches now. That -- the new equipment, we’re capable of 73.5 inches. And we’ll be ramping up here third quarter. By fourth quarter, we expect to be at nameplate capacity. And as you may recall, original stated capacity for that mill, about 1.6 million tons. The expansion will add about 1.4 million. So, we’ll be right at the 3 million-ton mark and capable of producing at nameplate capacity during the fourth quarter. Our ramp-up also in what we produce will be determined also by what’s going on in the marketplace. So I do want to state that, and we’ll gauge that by the demand in the marketplace. So thanks for the question.
Operator: And next, we’ll hear from Seth Rosenfeld of BNP Paribas.
Seth Rosenfeld: I’ve got two points on raw material strategy, please. First, with regards to pig iron from the mills’ perspective, obviously, when we spoke to you a few months ago, you emphasized the strategy to derisk pig iron supply for the full year. What does that mean for your cost of inventory today? Were you ultimately forced to lock in some high-priced deliveries that might be arriving even though spot has declined sharply? And then secondly, from the raw materials side, I think your guidance includes higher DRI price realizations in Q3. Can you explain what would drive that given the weaker scrap and pig iron prices that we’re seeing in the spot market Q-over-Q? Thank you.
Leon Topalian: Yes. Seth, thanks for the question. I’ll ask Doug Jellison, our EVP of Raw Materials and Logistics, really to provide some background in how that flow-through impact of the DRI pricing into the mills works and explain that in a little more detail. Doug?
Doug Jellison: Sure, Leon. Thanks. Thanks for the questions, Seth. First thing, I want to acknowledge the great work that the mills in our raw materials group has done over the last six months, tremendous flexibility and execution to react to the changes in the supply chain. No stops in production. We’ve cut our pig use by about 50%, which also has led to a reduction in greenhouse gas emissions and has really been a key part of supporting our record earnings. So, a big shout-out to the team and a thank you. You’re asking about pig iron. I mentioned our reliance on pig is half of this year what it was last year. There’s no overhang or buildup of pigs. There is the normal flow of pig prices as we purchase pigs, deliveries, lead times, working through inventories. So, we see a little bit probably leveling of pig prices through the third quarter declining into the fourth quarter. As far as the DRI, we adjust our DRI transfer price monthly. We want the transfer price to reflect the market price into the steel mills, so that will reflect in those segment reporting. And as a result of that, we see a stable input cost to DRI with a still elevated pig price or transfer price into the third quarter and then dropping pretty significantly into the fourth quarter.
Operator: Next, we’ll hear from Carlos De Alba of Morgan Stanley.
Carlos De Alba: Maybe just exploring a little bit more the outlook for the steel product business. The guidance seems to suggest that it should be relatively in line with the second quarter. But, could you comment a little bit more where you see the main changes? What is the composition of these basically stable operating results? Is it prices offsetting -- sorry, the volumes offsetting prices, the other way around? How do you see margins? Any color would be helpful. And then, if I may squeeze another one. Is it possible to get an update on how you see CapEx for the remainder of the year, maybe first look at 2023? And how do you see working capital evolving in the coming quarters? Thank you.
Leon Topalian: Okay, Carlos. Let me start off with our steel products businesses. And it’s a good question in terms of how that breaks out because there are segments within the products group that will continue to have record-setting pace in performance. And as a group, though, in its entirety, the steel, joist and deck buildings, different segments that are contained in our steel products group had a record quarter in this past quarter. And in fact, their performance in the quarter was stronger financially than the entire year of 2021. So, at $1.1 billion of net earnings for our products group, they are setting an incredibly high bar and really operating on all cylinders. Chad Utermark, who was over our EVP of our Products Group and now moving into New Markets. Chad, why don’t you just kind of break through a little bit of that split and how that’s looking, what’s our forecasting into Q3 and Q4? And then, Steve, if you would, on the CapEx?
Chad Utermark: Thanks, Leon. Yes, similar to what we had in the script, we expect Q3 earnings to be very similar to the record-breaking results that we had in Q2. So just a big shout-out to all of our downstream product groups. As Leon mentioned, we have multiple businesses from joist and deck, rebar fab, steel piling, racking, tubing, insulated panel, grading. So, that group continues to perform well. There are indicators that we have come off the high in some of these businesses as far as backlogs. But I want to remind you how strong those highs were. And in some of our businesses, our backlogs are still at record levels. But most all of our downstream businesses have current backlog levels that are 30% to 50% higher than the average backlog we had in that 2015 to 2019 period to the pandemic. So, we still see that nonres construction space that is the driver for these businesses, as Al mentioned earlier, to be very strong. What can you expect going forward, even out past third quarter and into the future? What I would say is you should expect higher highs and higher lows. And here’s why. Number one, we’ve been making some changes in our businesses through the years, and we’ve talked about some of those, from restructuring some of our business to bringing on a construction solutions team, even alignment within our groups to better, more effective commercial practices and expectations that drive higher EBITDA margins. And we’re not done. Bottom line in some of our business is downstream, we needed to get better. We’ve made progress, and I’m proud of where the team is at and where we’re headed. In addition to that, we’re bringing on these new businesses in Expand Beyond. So, you should expect good results from businesses like our insulated metal panel business as we grow that and as we drive efficiencies through that. Steel racking, steel towers, and obviously, the overhead steel doors with the acquisition of C.H.I., all these should positively impact our profitability as we fully utilize and integrate these products into our Construction Solutions portfolio. So I guess you can’t hear my excitement, I’ll reiterate, yes, I’m excited about the future of our downstream businesses.
Leon Topalian: Hey Chad, one thing I’ll add and just maybe a further point, Carlos, to share some of this. We get some questions or I’ve got some questions over the last weeks, months what -- why are you so optimistic in the face of inflation and interest rates. If we just look, for example, at the warehousing space, forecast by Dodge for 2023 is down about 19%. But as Chad mentioned, and I think it’s an incredibly important part, our industry is shifted and it shifted substantially through reconciliations, through consolidation and through trade. And as a result, you are seeing higher highs and higher lows. But equally, that drop in 19% for 2023 is 60% higher than what we saw our previous record year, which was 2018 prior to 2021. So, it’s 60% higher than what we did in 2018. So, in terms of the volumes, yes, it’s coming off 19%. But the overall market is still incredibly strong, and there’s a lot to be optimistic about in that space. Now, the other piece of that, when we look at Nucor buildings group, the Nucor buildings group does roughly about 10,000 buildings annually, just our Nucor buildings group. Every one of those buildings has somewhere between 4 and 12 to 15 doors on every building. Well, now with C.H.I., it is an incredible marriage as they continue to grow their commercial end to tie in with that dealer network with those businesses. And then, you think about the rest of the warehousing space with companies like Amazon, the Gigafactories, the chip factories, and hopefully, we’ll see that pass here in Washington D.C. and the CHIPS Act and that incentive package supported to build an onshore and reshore American manufacturing. But that is an incredible construction solution piece. So, having C.H.I. now in the portfolio continues to differentiate Nucor as a one-stop differentiated supplier that can take care of all the needs. And that’s how we’re thinking about it as we move forward and the types of businesses Chad will be responsible for in the Expand Beyond category. So again, thank you, Chad. And Steve, do you want to touch on sort of our CapEx for the balance of the year and how we’re looking? Thank you.
Steve Laxton: Absolutely. Hey Carlos, how are you doing? This is Steve. You asked about capital for the remainder of the year. And we have guided to a little more than $2 billion on the year. And so, I’ll give you that same outlook from what we said today. We spent about $1 billion so far. So, you can back into roughly $1 billion for the second half of the year. And you’d asked about working capital. Working capital is obviously going to vary where you believe steel pricing is going to go across our system. And I’ll let you take a best guess at that. You probably know better than we do.
Operator: Next, we’ll hear from Emily Chieng of Goldman Sachs.
Emily Chieng: My first question is just around the infrastructure package that should start to really accelerate in 2023. But, how much early demand are you seeing that -- from that materialize this year? And perhaps what are the categories that are taking some of the early wins there?
Leon Topalian: Yes. Thanks, Emily. And look, I would tell you that right now, there’s a lot of dialogue going on. But, we’re not seeing any real movement in terms of material orders. We really think that will start in earnest in early ‘23 and really begin to progress throughout the year 2023. So, while our teams, our division businesses are ramping up and at the ready, I think we’re still about six months out from really seeing that move through our company.
Emily Chieng: Great. That makes sense. And then, my follow-up is just on the steel mill side. We’ve certainly been seeing a little bit more of a buyer strike type of activity from -- on the customers and as it relates to sort of hot-rolled. But how are market participants acting now? Is there any sort of renewed or early signs of renewed appetite to reengage here?
Leon Topalian: Yes. Look, I think so. And again, if we look at our most recent order books, sheet’s strong. We’re seeing some -- again, the word resiliency is the right word across the nonres construction businesses and you know well now in Nucor that 50% of our overall mix is into the construction sector. So us providing, again, a complete solution really is a differentiated value proposition. But yes, we are seeing, again, stable demand and growing in some cases. But it’s certainly not without looking as well as some of the headwinds that are coming from an economy standpoint in the marketplace of interest rates and inflation. It’s in supply chain and some of those constraints. While those are real, the driving demand factors in our businesses, for the most part, remain very healthy. And automotive is a good example. If we could solve the chip shortage today, I think we’re going to crest well over 17 million units sold. And while that’s the forecast and it’s easy to say that, I truly believe that. I think the underlying demand, the consumable spending appetite in this country still remains fairly high. And so, again, there are some things I think that will begin to loosen up and break loose in the back half of this year and well into ‘23 that will help in addition to the infrastructure, like getting a bit more caught off on the chips and as Al mentioned, the offshore wind. And what we saw President Biden recently announced an executive orders yesterday, that will continue to position Nucor well, will position Nucor’s plate group and particularly Brandenburg, and an incredible value-add opportunity for our customers.
Operator: [Operator Instructions] We’ll now hear from Timna Tanners of Wolfe Research.
Timna Tanners: I wanted to ask two questions. One was to kind of probe what was discussed earlier on Gallatin a little bit more. And the other was to ask about follow-up to the garage door acquisition. So, with regard to Gallatin, if I look at your sheet tons, you’re running -- run rate less than a year ago levels. And I know you made a comment that you tailor it to production to -- sorry, to tailor production to demand levels. But how much of Gallatin was in the second quarter? And assuming demand allows, should we be seeing that 1.4, half of that flow through fully in the second half of the year? Just trying to square that with the volumes being lower year-over-year. And then, the C.H.I. acquisition question, I just wanted to follow up. I know you said that you were looking to shore up maybe more overhead garage stores to kind of get more critical mass like you did with the tubulars -- structural tubing in the past. So just wondering if you have any updated comments there. Thanks a lot.
Leon Topalian: Yes. Let me start with the back half and then, Rex, I’ll turn it over to you. And we’ve got, I think, good questions on the Gallatin front. What we’ve seen today would be very little through the cycle of the overall volume, but I’ll let Rex touch more on that. Regarding the C.H.I. acquisition, look, in our minds, we acquired the very best company out there in that space, period, bar none. So, our opportunity really isn’t to move or look for other large garage door companies. We are roughly operating at about 60% total utilization in -- with C.H.I. today. We have a lot of room to grow. And most of that 60% is concentrated sort of that mid-USA levels. The further out towards the coast you get, the market share has dropped off a little bit. So, you have an opportunity -- or we have an opportunity to really grow that business with what we have today. Now, there may be some things that we’re looking at that I can’t get into that would be very, very small that might be complementary, but we -- our eggs are in the C.H.I. basket. Couldn’t be more excited about Dave Banger and his leadership team, the entire C.H.I. team and welcoming them to the Nucor family and what they’re doing in that business segment. We’re proud of them already. We’re proud to call them Nucor team members, and the growth that they’re going to bring in the coming years is something incredibly exciting for us. Rex, do you want to touch on the Gallatin question?
Rex Query: Yes, Timna. I’ll speak first -- we’ll speak about the first half of the year. We had some outages with Gallatin as we were installing this equipment. So, if you look at the group -- if you took the first half of the year, we were running at a utilization above the 80% mark as a group. With the outages, we were a little bit under that at Gallatin, but we augmented that with other sheet mills in our group. So, that was how we handled that, took care of customers through supply from other mills. So, now that the outage is complete, equipment is installed, our run rate will ramp up, and we’re putting the equipment through its paces. So, we’re doing a full thickness slab now in a new slab, 130-millimeter. But as we start to put the mill through its paces, we’ll go wider and wider. That will happen during the third quarter. And again, we’ll have the capability. We absolutely expect in the fourth quarter to run at really nameplate capacity. So, you would look right at that 3 million ton run rate annualized. But we’ll gauge that to what the market is doing off of that.
Leon Topalian: Timna, where we see, maybe a little more color. It’d probably be in the several hundred thousand ton range, based on what we see today that we would produce between now and the end of the year and from the new expansion part of Gallatin.
Rex Query: Correct.
Operator: Next, we’ll hear from Michael Leshock of KeyBanc Capital Markets.
Michael Leshock: I wanted to follow up on your M&A commentary. It sounds like the C.H.I. side will be mostly organic growth from here. But do you see other opportunities to make downstream acquisitions? And how deep is your pipeline of potential targets right now?
Leon Topalian: Yes. Mike, thank you for the question. When I took over in January of 2020, our eight-word mission statement is alive and well, and that’s Grow Our Core, Expand Beyond and Live Our Culture. And so the Live the Culture piece is easy. It’s delivering uncompromising results in every area of our business and doing that while maintaining the safety, health and wellbeing of our team. The core is just at the West Virginia mill, the Lexington micro mill, the expansions in Hickman and the new increases across in Kankakee and other core assets that we have. This Expand Beyond piece over the last 2.5 years driven really by Steve Laxton before he became CFO and Alex Hoffman is really about finding those companies that provide a differentiated value proposition and moving us sort of that one standard deviation outside of the normal and traditional steelmaking lane that have direct steel adjacency, but like C.H.I. offer you some insulation from the traditional cyclicality of steelmaking. Hannibal Industries is in doing that. Cornerstone and the insulated metal panel building business is doing that. The other side of it and the other filter that we look for is how do we continue to provide sweeping solutions in construction, in energy, in automotive, so that when our commercial teams go and meet with the architects, engineers, owners, VCs, they can say we’ve got the entire solution for you. You don’t have to worry about doors or joist or deck or grading or anything else. We are a one-stop shop and can solve the entity and entirety of their steel needs. So the pipeline is rich. I think it will get richer as we move forward. And for every downturn, Nucor has gotten stronger and continue to invest that our cash flow position, the profits we’re generating today put Nucor in an ideal position to continue to be very deliberate and very strategic with long-term goals to enhance our shareholder value.
Operator: At this time, there are no further questions. I will turn the call back over to Leon for any additional or closing comments.
Leon Topalian: I’d just like to congratulate our entire team again for a record first half of the year. Thank you for delivering on our mission and making 2022 the safest, cleanest and most profitable year in our history. Thank you to our customers, and thank you for the trust that you place in each and every one of our Nucor teams for your business. We will continue to work hard to earn that business well into the future. And finally, thank you to our shareholders for the trusted capital that you place in our hands. We continue to want to be great stewards and great shepherds to return that valuable shareholder capital. Thank you for your interest in our company. Have a great day.
Operator: That does conclude today’s conference. Thank you all for your participation. You may now disconnect.